Operator: Greetings, and welcome to the Altice USA Q4 and Full Year 2024 Results Conference Call and Webcast. At this time, all participants are in a listen-only mode. [Operator Instructions]. A question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded. It's now my pleasure to turn the call over to Sarah Freedman, Investor Relations. Please go ahead, Sarah.
Sarah Freedman: Thank you, and welcome to the Altice USA Q4 and full-year 2024 earnings call. We are joined today by Altice USA's Chairman and CEO; Dennis Mathew; and CFO, Mark Sirota, who together will take you through the presentation and then be available for questions. As today's presentation may contain forward-looking statements, please carefully review the section titled Forward-Looking Statements on Slide 2. Now turning over to Dennis to begin.
Dennis Mathew: Thank you, Sarah, and thank you everyone for joining us today. 2024 was a transformative year for Optimum and I'm incredibly proud of how much we achieved. As we look back on the year, our efforts, performance and progress were all anchored and our clear focus on transforming the business through several foundational elements. We'll review these on Slide 3. First, our Phase 1 transformation was driven by an experienced team of executives with deep hands-on expertise in day-to-day operations and transformation. These are operators, not just executives, bringing decades of experience in strategizing, competing and executing at the highest levels. They are data-driven, results-oriented and relentlessly focused on improving every aspect of our business from optimizing sales channels and enhancing customer experience, to leveraging automation and refining cost structures. Our operational and financial discipline is delivering measurable improvements. We've streamlined processes and improved decision-making through real-time data insights, which have strengthened efficiency, reduce costs and positioned us for sustainable revenue and subscriber growth. Next, we continued accelerating our award-winning networks and delivering best-in-class products and services fueled by innovation and advanced tools. By prioritizing customer first solutions, we enhanced value for our customers by elevating our network quality, transforming our customer experience and delivering the products and packages with the value our customers want. Our networks are more powerful than ever. And in 2024, we developed a strategic network road map, which includes fiber expansion and a multi-gig rollout across our footprint through network innovations and disciplined investments. In '24, we also achieved growth in key strategic areas like fiber and mobile, paving the way for additional top line opportunities in 2025. With a disciplined approach in operational and capital efficiency, we remain free cash flow positive, reinforcing our financial strength and flexibility. And despite higher cash interest in '24 we were able to grow free cash flow. We've reduced CapEx from recent multiyear highs and continue to expand network capacity at more efficient and sustainable spending levels. And at the heart of our transformation is a dynamic and forward-thinking culture that empowers our team to innovate and implement change. We have fostered collaboration at every level and built a culture that drives strategic growth and inspires excellence. Our ability to operate as 1 Optimum allows us to put the customer at the center of every decision and positions us for long-term growth. During our last earnings call, we discussed how we are building on this foundation as we embark on Phase 2 of our transformation, which includes executing on business acceleration opportunities that will deliver maximum value for our customers, communities and shareholders. Now turning to Slide 4. We will review key milestones showcasing that our efforts to improve our financial and operational trajectory remain on track. Q4 marked our best ever quarter for fiber net additions of 57,000, a 22% increase year-over-year, driven by more than double the pace of fiber migrations and mobile growth of 40,000 line net additions is our best performance in the last five years, rounding out an impressive '24 for our mobile business, which saw the pace of Mobile line net additions grow by almost 70%, and we expect Mobile line growth to continue to accelerate in full-year '25. We ended the year with a strong base of 4.3 million broadband subscribers and 460,000 mobile lines. Broadband subscriber net losses in the quarter were $39,000, which reflected the impacts of the hurricane in North Carolina and various go-to-market and base management pilot programs. Overall, new volume remained low, with home sales falling to the lowest levels in nearly 30 years, this continued to pressure gross adds due to low overall connect volumes, particularly in the income-constrained segment. We also saw many positive trends that we are leaning into more strategically as we head into '25. Specifically in Q4, churn remained low as we focused on implementing strong base management strategy. In fact, churn improved year-over-year in the East footprint comprising of our New York Tri-State markets, which contributed to improved Q4 trends in the East, representing the best quarterly performance of the year within this footprint. And we saw stronger win share rates against established ILEC and overbuild fiber operators in mature markets across our footprint. The West footprint remained more challenged by incremental fiber overbuilders as well as fixed wireless. We also have a greater proportion of income constrained households in our West markets, which remains pressured. In '25, we are launching a new income constrained program featuring unique offers designed to attract and retain customers with worry-free pricing, easy sign-up, flexible payment options and meaningful perks and add-ons and a mobile offer as well. Overall, we are focusing on strong base management tactics, quality network enhancements and improved go-to-market strategies to compete with new market entrants. Optimum's unique attributes of size, speed to market, ability to act locally and a robust expanding product set position us to act with greater flexibility and execute innovative strategies that will allow us to maximize both rate and volume based on the competitive landscape. We have run several small pilots in the West, which have yielded positive results. For example, in Q4, we introduced new competitive pricing in select markets where we face intense competition, leveraging a hyper-local approach. Comparing the month before and these -- after these pilot market launches, we saw growth in penetration, sales, connect rates and market level revenue. Building on this success, we plan to scale these hyperlocal tactics in the coming months, tailoring strategies to the unique competitive dynamics of each market to drive further growth. Our performance is highlighted by revenue achievements in key areas. Specifically, residential mobile service revenue and LightPath both achieved their highest ever revenue in full-year '24, showcasing strong growth and market momentum. Next, we continue to evolve our product portfolio and enhanced our customer experience. In '24, we grew our mobile portfolio to include tablets and device insurance, and we expanded the availability and functionality of our Optimum stream TV experience. We launched new value-added services, including total care, premium support, wireless backup solutions as well as three new video offerings that provide customers more choice and flexibility. We are seeing early success with these new products from growing attachment rates to creating stickier customers, with a higher customer lifetime value, and these are just starting to scale. We also continue to enhance our customer experience and have launched new digital and self-service solutions, which have reduced the total volume and rates at which customers contact us. In full-year '24, truck rolls and service calls each declined double-digits by 11% year-over-year. Next, Central to our success is our continued investment in our networks. I'm incredibly proud of our network and technology teams for their dedication to strengthening and expanding our networks, making significant strides in '24's enhanced connectivity across the communities served and demonstrating unwavering commitment to recovery efforts in the wake of Hurricane Helene. In Hendersonville, North Carolina, and surrounding communities, our team worked tirelessly to restore service provide free WiFi in hard hit locations and support recovery efforts with donations to local relief organizations. These achievements reflect our commitment to keeping communities connected no matter the challenge. Our network expansion in full-year '24, we grew our total footprint by over 2% adding 210,000 passings. We closed the year with a total of $9.8 million total passing and achieved our target of 3 million fiber passing. We surpassed the milestone of 500,000 fiber customers, ending the year with 538,000 fiber customers or over 18% penetration of our fiber network. Strengthening our networks has been a key priority of ours since I joined the company, and I'm pleased to share that our investments are paying off. Optimum Fiber was recently ranked once again as having the fastest and most reliable Internet speeds in New York and New Jersey and now also ranked the lowest latency and best gaming experience in New York, New Jersey and Connecticut. This is in addition to awards we received for both our fiber and HFC network superiority from other various third-parties across the country. We've also made progress in optimizing our pricing and packaging strategy, growing our mobile base, improving video attachment rates and launching value-added services, which are resulting in residential ARPU trends stabilizing. For context, in full-year '22, residential ARPU declined by over 2%. In full-year '23, we improved this to down 1.5% and in full-year '24, we improved this again to down 1% with a strong reported full-year residential ARPU of $135.44. This figure is inclusive of customer credits related to Hurricane Helene and other onetime credits. Excluding these credits, full-year '24 residential ARPU would have declined less than 1%. Contributing to these trends in Q4, our residential gross net ARPU was higher by $4.50 year-over-year through more disciplined and hyper-local pricing and growth in value-added services like mobile. And on broadband ARPU specifically, excluding the impact of product rack rate allocations and onetime credits, implied broadband ARPU would have been relatively flat in full-year '24 and would have grown 1.2% year-over-year in Q4, highlighting our continued strength in maintaining broadband ARPU despite macro and competitive pressures. Our capital full-year '24 cash capital of $1.4 billion has stepped down by approximately $480 million in the last two years and by $270 million in the last year, while continuing to fully deliver on our strategic growth objectives. And last, in full-year '24, free cash flow grew by 23% year-over-year to $149 million despite the continued step-up in cash interest. On Page 5, we outline our '25 priorities as we enter the next phase of our transformation journey. These key priorities will help us to stabilize adjusted EBITDA, enhance capital efficiency and increase free cash flow in '25. First, on revenue opportunity. We are committed to improving broadband subscriber trends by delivering exceptional value to our customers. In addition, we are focused on increasing value-added services, growing mobile penetration and expanding our B2B product portfolio to unlock new revenue streams, improve ARPU trends and enhance customer stickiness and loyalty. Our road map for value-added services in '25 includes launching whole home WiFi solutions with service protection add-ons. Advanced WiFi, including enhanced Internet security for businesses, and billing on behalf of partnerships with third-party OTT app providers and subscription services to sell in Optimum packages. Our new pricing approach uses data analysis that balances rate and volume based on market conditions. Our approach to rate actions, base management and acquisition pricing now enables us to better align with customer trends and drive top line improvements, which is expected to deliver up to an incremental $100 million in revenue in '25. Second, we are focused on driving efficiency across our operations. We will continue to leverage the power of AI, digital solutions and self-service tools to drive further costs out of the system, while continuing to improve the customer experience. By streamlining processes and enhancing product margins, we are positioning ourselves to operate more efficiently while delivering superior value to our customers. As an update to our Phase 2 transformational goals, we are completing enterprise benchmarking and have identified efficiencies, which are expected to moderate our other operating expense line by 4% to 6% by the end of '26. We will provide more detail on these plans in future calls. Third, we remain committed to strengthening our networks. We expect to continue to grow our total passings in '25, of which the majority is expected to be fiber build, and we plan to increase the availability of multi-gig speeds across our footprint by growing our fiber network, which offers 8 gig symmetrical speeds and through upgrades to portions of our HFC network using mid split technology to deliver up to 2 gig download speeds. We will continue to maximize the value of our fiber network by accelerating the pace of fiber migrations and penetration, which will allow us to realize benefits such as improved churn and lower cost to serve fiber customers. And last, we are focused on a sustainable capital structure in '25. We will continue to enhance our capital efficiency, targeting approximately $1.3 billion of capital in '25, while maintaining a strong liquidity position to execute on our operational and growth objectives. Let's turn to Slide 6 to review our video strategy evolution in greater detail. In '25, we will continue to drive value by leveraging data, customer insights, and consumer research to make informed decisions that prioritize customer expectations, while maximizing enterprise value. We kicked off '25 with actions that support that we are doing just that. By addressing programming partnerships to ensure we provide the best content and experiences to our customers based on what they want. And we know the content landscape has changed dramatically over the last few years. While video remains an integral part of our value-added services portfolio, playing a role in reducing churn and adding to overall residential ARPU and important part of this strategy involve rationalizing our programming agreements to ensure we can deliver the content that customers value most at an affordable price. With that in mind, we have been navigating various programming renewals by putting the customer at the center of our discussions and making decisions based on viewing data and customer demand. By doing this, we have been able to thoughtfully mitigate disruption, while ensuring we drive value, maintain competitiveness and improve customer choice and value. As TV viewership has become increasingly fragmented across cable, streaming platforms and other services, the nature of the video industry has been evolving and so have we. That is why in late '24, we launched three new video offerings. Entertainment TV, Extra TV, and everything TV, offering content that aligns with customer needs at compelling price points. Notably, these offerings integrate seamlessly with streaming services available on our Android-based platform optimum stream. The launch of these new video offerings supported by enhancements to optimum stream such as the new user interface, have resulted in improvements in our video attachment rate. Specifically, the rate at which new customers choose video at sign-up has been on the decline in recent years. However, in Q4, we saw this trend begin to inflect by over 200 basis points quarter-over-quarter with approximately 20% of new customers in Q4, choosing to include video in their service bundle. And as we migrate customers to new video offerings and optimize our programming agreements, we have seen a consistent decline in our programming cost inflation per video subscriber with full-year video cost inflation per sub of approximately 4%, which has improved in the last two years from the average inflation of 6% to 8% in the years prior. We expect this trend to continue into '25. Over the last few months, we have engaged with thousands of customers who are embracing our new video products, packages and options. These results reaffirm that our video strategy is delivering value for both our customers and our business. In summary, '24 was a year of remarkable transformation. We laid a solid foundation that positions us to continue to enhance our operations and deliver sustained value to our customers, communities and stakeholders. I will now turn it over to Marc to review our performance in more detail.
Marc Sirota: Thank you, Dennis. Turning to Slide 7. I'll begin with a review of our financial performance in 2024. Total revenue of $9 billion declined 3.1% year-over-year an improvement from prior year declines. Our full-year 2024 revenue trend was driven by mobile service revenue growth of 52%, news and advertising growth of 8.6%, business services growth of 0.3% and growth in other of 22.5%, primarily driven by growth in mobile equipment revenue, offset by residential revenue decline of 4.6%. On news and advertising, we experienced a strong political cycle in early Q4, which tapered off in the latter half as the campaign activity slowed, leading to full-year results coming in below our initial projections. Despite this, news and advertising still delivered a solid 23% year-over-year growth rate in Q4 or 5% growth, excluding political. News and advertising revenue in 2025 will reflect the impact of a non-election year. Adjusted EBITDA of $3.4 billion declined 5.4% in full-year 2024 versus a 6.7% decline in the prior year. To note, in 2024, we had onetime storm related and other customer credits as well as onetime costs related to storm repair and other non-recurring transformation expenses such as consulting fees, excluding these impacts, underlying adjusted EBITDA trends would have been down approximately 4.4% year-over-year. Gross margin of 67.7% grew approximately 50 basis points year-over-year as we target 70% gross margins by 2026. Adjusted EBITDA margin in the full-year is 38.1%. Excluding non-recurring EBITDA impacts, normalized adjusted EBITDA margins would have been 38.7%. Our cash capital expenditures were $1.4 billion in full-year 2024, representing a 16% improvement year-over-year and a 25% improvement over full-year 2022. Likewise, capital intensity of 16% in 2024 is down approximately 250 basis points and 380 basis points compared to full-year 2023 and 2022, respectively. We continue investing in high quality upgrades and footprint expansions, while leveraging tools, process improvements and optimize partnerships to maximize the return on every dollar we invest. In 2024, most of our fiber expansion focused on upgrading existing passings to fiber. In 2025, however, fiber net growth is expected to be driven primarily by new fiber builds, with a small portion dedicated to fiber overbuilds. This shift should enhance our capital profile by directing construction investments to our overall footprint expansion and fiber network growth. Therefore, we expect to moderate our capital spend again with a full-year 2025 cash capital target of approximately $1.3 billion, which includes maintaining our rate of footprint expansion and rolling out our multi-gig upgrade plan. Our cash interest reached $1.6 billion in full-year '24, which has stepped up over the last four years. Despite these step-ups, we have maintained positive free cash flows and grew it in 2024. In the full-year, we generated $149 million of free cash flow, representing growth of 23%. Excluding cash restructuring of severance-related payments, facility realignment and transaction costs, in addition to cash received in connection with the termination of CSC Holdings interest rate swap agreements in the third quarter, full-year free flow would have been $192 million or 28% growth. Next on Slide 8, I'd like to take a moment to highlight the growth and opportunity within our LightPath Fiber Infrastructure business. As a reminder, in 2020, Altice USA sold a 49.99% stake in LightPath to Morgan Stanley Infrastructure Partners, forming a strong partnership to drive growth. Today, LightPath fiber network consists of approximately 11,000 route miles and approximately 16,000 connected locations and customers include enterprise clients from hyperscalers to companies in health care, finance, education, professional services as well as public sector and communication providers. Full-year 2024 was LightPath's best performance with the revenue accelerating to $414 million on a consolidated reported basis, growing 5.5% year-over-year. This revenue growth is driven partly by footprint expansion as well as increase in net bookings. We're incredibly excited by LightPath established presence in the hyperscaler customer segment, which brought in almost $110 million in contract value in 2024. At the end of '24, LightPath's AI-related infrastructure connectivity sales pipeline totaled nearly $1 billion across 10 markets, which we expect to continue to grow. In addition, LightPath has closed on its acquisition of United Fiber and Data's assets, adding a wholly-owned 323-route mile of high fiber count network between New York City and Ashburn, Virginia and the 79 route mile metro network in New York City and New Jersey. This acquisition connects LightPath's existing network in New York with one of the largest data center markets in the world through geographically diverse long-haul fiber and increases the serviceable market in Manhattan by 20%. Within our broader capital envelope, we anticipate LightPath capital spend in full-year '25 to be between $200 million to $250 million, up which we expect a LightPath will receive 20% to 25% in upfront payments from customers in 2025. And in 2024, about 80% of LightPath's capital spend was driven by success-based growth capital driven by customer contracts. We are excited about the growth and recent major wins at LightPath and view this as a strategic asset to drive growth in the years ahead. Turning to Slide 9. I'd like to review our footprint evolution. Our multi-year network roadmap includes further advancements to our network quality, including a plan to enable multi-gig speeds across a portion of our HSC network and adding to multi-gig availability already on our fiber network. Today, we have multi-gig speeds of up to 8 gigabits per second enabled in almost 30% of our footprint through the availability of our fiber network. At the end of the year, we had 96% of our footprint enabled with speeds of 1 gig or higher. We see the demand for higher speeds continuing to grow with over 50% of the new customers choosing 1 gig or higher download speeds, partially driven by price promotions in the quarter. This brings our ending customer base to over 30% on 1 gig or higher speed tiers. In 2025, we'll begin mid splits to expand and reallocate spectrum on our DOCSIS 3.1 network to enable download speeds of up to 2 gigabits per second. Through a combination of building fiber and HFC mid split upgrades, we have a path to achieve multi-gig services on approximately 65% of our network by the year-end 2028. This enables us to compete even more effectively in our West footprint. On our total footprint, in full-year 2024, we grew our passings by over 2% and expect to maintain near this level of growth by adding over 175,000 new passings in 2025. As mentioned, we are edging out our footprint in a fiber-rich manner with the majority of fiber passings in 2025 contributing to total new passings. In 2024, we expanded fiber in areas like Texas and Louisiana, and we will build upon expanding fiber in both our East and West footprints in 2025, focusing on strategic areas that maximize returns. And finally, we'll turn to Page 10 to review our debt maturity profile. We remain well positioned with a clear runway of no maturities until 2027. At the end of 2024, our weighted average cost of debt is 6.7%. Our weighted average life of debt is 4.1 years and 74% of our debt stack is fixed. At the end of the year, we remain in a strong liquidity position of approximately $1 billion through undrawn revolver capacity and ending cash balances. Our leverage ratio is 7.3x the last two quarters annualized adjusted EBITDA. We remain focused on exploring opportunities that ensure our capital structure supports our long-term operating goals. While we are well positioned in the near term, we continue to actively assess all options to maintain a capital structure that supports our long-term strategic objectives. In conclusion, we have the right strategy in place that will guide us towards sustainable long-term revenue, subscriber, adjusted EBITDA and free cash flow growth. With that, we will now take any questions.
Operator: Thank you. And now we will be conducting a question-and-answer session. [Operator Instructions]. Our first question is coming from Michael Rollins from Citi. Your line is now live.
Michael Rollins: Thanks and good morning. I'm curious if you could talk a little bit more about broadband performance in the different regions. Is there still an underpenetration opportunity in the West and if you can give us an update on the underlying competitive environment? Thanks.
Dennis Mathew: Michael, happy to. So if we look at the East and the West, we continue to see overbuild in the West, it's gone up about 5 percentage points in the last six months. So we're up to about 45%. It's a little bit under 70% in the East, which has been what it's been historically. We continue to see competition with fixed wireless as well, and there's a bit more availability of fixed wireless, particularly in the West. But we feel really good that we have the right products and the right go-to-market to be able to compete effectively in both of these regions. We're seeing some really nice improvements in the East, in particular, as we've improved upon churn year-over-year, our go-to-market strategies and our offers and our base management strategies are really helping us spend the curve. And in the West, we've started to run some market tests. We've done four of these tests, and we've seen improvements in sales, 20% improvement in sales and install. And that's really all about elevating our acquisition strategies where there's elevated competition and being able to do that in a surgical fashion. When I joined a couple of years ago, unfortunately, there was just a one size fits all. And we know that, that's not long-term sustainable. And so the teams have done an incredible job helping us build pricing and packaging and models and leveraging AI so that we can be a lot more surgical. Unfortunately, prior to joining, we just did not have the right go-to-market when other overbuilders were coming into our footprint. And so we had lost anywhere from five, 10, 15, 20 points of share. And these market tests are helping us really navigate what it's going to take to be able to start winning that share back. And so we're confident that we've got the right products, especially as we've rolled out -- as you've heard, our multi-gig strategy. We brought -- we've made incredible improvements in terms of being able to deliver 1 gig across the footprint. This year, we're going to be starting to enhance multi-gig across the West. We now have a very compelling product packaging construct with mobile and people are absolutely resonating with that. Folks are looking for quality and value. And so our network is now winning awards across the East and the West, and we're providing that value with mobile. And we're expanding stream. And we've launched stream across the East, and we're launching it across the west as well. And the new video packages are really resonating. For the first time, we're seeing that video attach is growing from a gross add perspective, up to now 20% attach on gross adds. So I do think that there is opportunity, and we're going to start to really bring that to life here in 2025.
Operator: Thank you. Next question is coming from Sebastiano Petti from JPMorgan. Your line is now live.
Sebastiano Petti: Hi, thank you for taking the question. I just wanted to see if you can help us unpack some of the, I guess some of the pressure on the EBITDA in the fourth quarter, I think, Marc, you did kind of outline there were some onetimers. But just as we're thinking about the fourth quarter exit rate, and is there any correlation perhaps to your hyper local approach? And will that perhaps pressure SG&A and other direct costs as we look out into 2025. Just trying to understand maybe if there's any onetimers specifically in 4Q or if we might expect higher run rate costs as we move into 2025? Thank you.
Dennis Mathew: Hey, Sebastiano. I'll add some commentary there, and then I'll throw it over to Marc. But as you know, in the last call, we announced our Phase 2 plan and to drive transformation. And we're very bullish on being able to deliver that incremental $400 million that we committed to. But we did need to invest, and we needed to create a holistic robust strategy to really ensure that we have the right plans and programs to be able to deliver that. And so we did invest in that in Q4. And I'll be sharing more of those details and calls to come, but it will really outline in incredible detail the opportunities, both in terms of revenue and in terms of OpEx transformation and how we're going to get there. So that is a part of the onetime investment, but I'll throw it over to Marc to unpack a bit more.
Marc Sirota: Yes. I mean just overall on the trends on EBITDA, we're pleased with where we're heading certainly coming out of 2022 and now where we stand, when you normalize down 4.4% for the full-year and down 5% normalized in the fourth quarter itself for those onetime items, things like the storm and other additional costs that we talked about around transformation. So we're pleased on the trajectory. We expect that trajectory improvement to continue into 2025. So we're feeling good about where things stand. We have a revised base management strategy, improved pricing, as you heard. We're launching our new low-income strategy, accelerating fiber and mobile improvements in the network. So that gives us all confidence that we will continue to improve upon the EBITDA trends that we've already established.
Dennis Mathew: Yes. Overall, we see EBITDA stabilizing in '25.
Operator: Thank you. Next question is coming from Kutgun Maral from Evercore ISI. Your line is now live.
Kutgun Maral: Good morning. Thanks for taking the question. I wanted to ask about the balance sheet. And I was hoping you could expand on your efforts to improve the capital structure. There's no meaningful debt maturing in the next two years, but 2027 isn't that far away. When you talk about Phase 2 of your transformation efforts, there are a lot of encouraging initiatives to support operational and financial metrics. And I was hoping to get a little bit more color on where deleveraging fits in within that. And maybe relatedly, LightPath seems to be very attractively positioned with hyperscalers and AI, I appreciate that you are very bullish on the opportunity there, but is there an interest in monetizing its growing strategic value to help with your efforts to strengthen the balance sheet? Thank you.
Dennis Mathew: Kutgun, again, as we've talked previously, we are well positioned for the near term, but we are not resting there. We're certainly looking at all options to address our debt maturity profile and maintaining a capital structure that supports our long-term objectives. Nothing new to add at this point around that, but we are exploring all options actively. As it relates to LightPath, very pleased with their financial performance will continue to maximize growth there, excited about what they're doing, the AI opportunity is a big one. I'm really excited to see them winning awards, and that continues into 2025. Nothing to share as far as looking to monetize that asset. We'll just continue to try to grow that asset and put in its best spot for value.
Operator: Thanks. Next question is coming from Bryan Kraft from Deutsche Bank. Your line is now live.
Bryan Kraft: Thank you. Good morning. I had two, if I could. I guess first, at this point, how would you expect CapEx to trend after 2025? Is $1.3 billion the right level to think about at this point? Or might it trend down further? And then secondly, can you elaborate on the hyperscaler business you're doing? Are these 25-year IRUs? How is the contract value being amortized as revenue, how much OpEx and CapEx is tied to it? And then lastly, can you just remind us how much access you have to LightPath cash, how that's being distributed or whether it's staying at LightPath for deleveraging and investment? Thank you.
Dennis Mathew: Certainly, Bryan, on capital, we are feeling optimistic around the trends that you've seen around capital deployment. Certainly, we've made meaningful progress in driving efficiency without sacrificing quality, we expect those trends to continue. But no specific guidance today outside of what we've already provided on the call. And again, we're excited about the hyperscaler opportunity. We won't disclose the specific details of those contracts, but we're excited. We're connecting large data center and their connectivity provider. And so we're excited for what that opportunity brings for us. A lot of those transactions are essentially self-funded through the contract itself. So we feel optimistic around the growth trajectory and those revenues will come in on an amortized basis over time. And then LightPath right now, the focus is just driving that operation, and that's what we'll do. The cash is staying there for now.
Operator: Thanks. Next question today is coming from Frank Louthan from Raymond James. Your line is now live.
Frank Louthan: Great, thank you. Great. Can you walk us through -- you characterized the fiber as new fiber builds versus overbuilds. Is this greenfield activity that you're taking outside of your plant or maybe discuss that? And then can you give us some color on to the cost per passing and is any of this using subsidy? And then I have a follow-up. Thanks.
Dennis Mathew: Frank, yes, we're excited for the first time ever, we have a multiyear network strategy when I joined, there was a lot of questions on fiber and how are we leveraging fiber. One, we're very happy that we have 3 million homes passed now of fiber passing in the East. And as we think about the future, we want to continue to grow our passing. So we've done so at about 2% a year historically. So we're on track this year to deliver another 175,000, and the majority will be fiber. We do view that as a very competitive product as we -- and a great use of CapEx and the right return on investment when we think about growing our passings. And so we're going to lean into growing our passings via fiber. That being said, HFC is a very robust product and network, and we've seen that. We've been able to invest there in a very efficient manner using OFDM and OFDMA. I think historically, we were over-dialed to node splits, which are very expensive, tens of thousands of dollars versus being able to upgrade that network for hundreds of dollars. And so we're going to continue to upgrade and provide multi-gig speeds through mid-split as we move forward. In terms of the cost per passing, in the fiber new build, it's about $800 to $900 per passing. But we are excited that we can -- we already have 70,000 passings now in Texas and Louisiana, and it's helping us compete effectively there. And we'll continue to grow that as we go forward and then make sure that we continue to invest in the right way in our HFC plant to provide multi-gig across the footprint as well.
Marc Sirota: And then just trying to add on the point of this is on the mid-splits, we can do that very efficiently on a per-passing basis, just over $100 per passing. So it is a very capitally efficient way to drive network performance. And so you can see our long-term road map around how we get to 65% multi-gig speeds over time. We can do that in a very capital-efficient manner.
Dennis Mathew: Yes, I'm really proud of the team that we're able to achieve all of our business objectives and do it in a much more efficient manner. And the team has just continued to do that and deliver on that goal year after year for the last couple of years.
Frank Louthan: Okay, great. And maybe a quick question for Marc. Can you give us a ballpark of the potential benefit to free cash flow if bonus depreciation and the interest expense deduction limits. Kind of go back to where they were before they got changed, any ballpark idea what that would do for?
Marc Sirota: I mean again we're excited about the trends that we have improved on in free cash flow certainly coming out of 2022 than what we've been able to do in for the first year, grow free cash flow here. Certainly, sorry to opine on what will happen out of the new administration, certainly, we're optimistic. Overall we're focused on driving incremental free cash flow growth. We can do that just we believe based on the current environment that certainly welcome any assistance from the new administration as well.
Operator: Thank you. Next question is coming from Jonathan Chaplin from New Street Research. Your line is live.
Jonathan Chaplin: Thanks. Just a follow-up on Sebastiano's question. On direct cost specifically, they were up sort of close to 20% in the fourth quarter. Do you expect those to stabilize at this level in 2025. And then on EBITDA you said, you expect stabilization in 2025 is that being sort of flattish with 2024 levels or during 2025 you'll sort of find the floor. And if that's the case, can you give us a sense of where you think that the floor in EBITDA is?
Dennis Mathew: Certainly. So from a direct cost perspective, again, most of the cost growth you see there is really tied to the acceleration you see out of our mobile business. And so, but we're pleased when you look at overall direct cost, the efficiency you saw in the earnings deck around how we're managing programming and driving that inflation down to its lowest levels, and we expect those trends to also continue. And then from a stabilization around EBITDA, we are feeling good around, again, our multi-year trajectory around EBITDA. We don't give specific guidance, but we feel optimistic that we're on a path here to return to long-term sustainable EBITDA growth, and we think we'll continue to make meaningful strides within 2025 related to that.
Operator: Thank you. Next question is coming from Maryanne Zhao from Morgan Stanley. Your line is now live.
Maryanne Zhao: Good morning. Thanks for taking the question. First, on the video side, just wondering if you're seeing any video churn pressure from the MSG network drop? And then second, on just general broadband trends into 1Q. Can you just talk to any customer trends that you're seeing in both the footprint through January and early February? Thank you so much.
Dennis Mathew: Thanks, Maryanne. We're not going to provide guidance on Q1 as of yet. We're still early, obviously, coming into the year. There were some headwinds as we've decided. We've had these programming negotiations. We also took our rate event in December. But we are just super proud of the team. We're operating as one optimum. When we started this journey, we said we were going to put the customer at the center of every decision that we make. And that means we have to deliver the right level of quality and the right level of value. And we've spoken to our customers and they're looking for that, particularly in the video space. And so we are crystal clear that we want to work with partners that and customers when they put the customer at the center, and we do not believe customers should be forced to pay for content that they don't watch. And so we are making products and packages and offers to our customers that they are resonating with. And so we've had a chance to engage with over 1 million of our customers and they over 50% have not even tuned into some of these programs. And so we've decided to put the customer at the center, and we're having great conversations now that we have our new entertainment extra and everything packages, we're able to continue to drive our video business. We're seeing that we're able to grow video attached for the first time in a long time, folks are migrating to the packages. We're saving customers on average, $25 a month by being able to provide them the offers and packages that they want and that they demand. They are looking for flexibility and value. And so we're very happy with the conversations we're having with our customers.
Operator: Thank you. Next question is coming from Craig Moffett from MoffettNathanson. Your line is now live.
Craig Moffett: Hi, thank you. So as I think about the transition from a largely fiber overbuild strategy to more of a mid [indiscernible] and I presume DOCSIS 4.0 strategy. Are you giving something up there? What have you learned in the fiber markets with respect to market share and penetration performance that that might give us some insight into whether there's any falloffs in expected performance. Can you compare your fiber footprint at this stage now to your non-fiber footprint in terms of competitive dynamics?
Dennis Mathew: Craig, what I'll say is that -- what we've learned is that we brought in an incredible team, and they've unlocked at a new level and a new gear, the power of HFC. And so that was what was lacking. I think there was this assumption that the only way that we could compete was with fiber. I'm very happy with the fiber that we have. I mean, to have 3 million homes and to have such an incredible network, particularly in the East, where we're competing with a large fiber provider that has a full suite of products. That's the right approach. We're seeing better customer lifetime, we're seeing better satisfaction. We're seeing better stronger ARPUs. We're seeing stronger churn. We're seeing less calls. We're seeing less truck rolls. And we're driving fiber penetration at the highest levels. And so we are laser-focused on continuing to drive fiber, fiber migrations. That being said, there is a lot of power that we're unlocking in the HFC side. as I mentioned, the historic strategy was to do these incredibly expensive node splits for tens of thousands of dollars. And it just was very expensive and not delivering the level of quality demanded by our customers. And now we're able to leverage OFDM and OFDMA to be able to provide gig-level speeds across the footprint. We're. Able to do that in a very cost-efficient manner. We're able to leverage mid splits as well in a cost-efficient manner to provide multi-gig. We have incredible experience. We're the -- one of the only companies that have both. We have experience in HFC. We have experience in fiber. We have experience competing against fiber for the last 20-plus years. And so we've got the tools, and we can leverage both of these incredible networks. I think that's what we brought in the people that understand this technology and can leverage them most effectively. That being said, as we continue to grow, there is a great return on investment in new passings and leveraging fiber there. And so we now have a multiyear strategy where we're leveraging both of these assets and the experience and the technical know-how to deliver a differentiated experience across both HFC and fiber.
Operator: Thank you. Your next question today is coming from Jim Schneider from Goldman Sachs. Your line is now live.
Jim Schneider: Good morning. Thanks for taking my question. I was wondering if you could maybe comment on the divergence and competitive trends you're seeing in the West and East you mentioned. Is this simply a matter of price sensitivity in the West or something else? And maybe talk about some of the tactics that you're using in the East. What are the things that are resonating and working in the market? And then maybe the second question. If you think about your video strategies, you mentioned the gross margin trends in video been better and the attach rate has been better as well. So how should we think about the sort of the contribution of video to margin trends over the next year or two? Thank you.
Dennis Mathew: Thanks, Jim. I'll let Marc talk about the video gross margins. But as we look at the East and the West, the West is still under pressure, particularly as overbuilders are coming in, and they're coming in at very low prices. very low prices to grab market share. And so historically, we were challenged because we had kind of a one-size-fits-all. We've been in terms of pricing and acquisition pricing. And now we're able to via these market tests to really turn up the intensity in these markets where we're seeing these overbuilders come in for the first time so that we can compete more effectively in the long term. And so we do believe that we have the right value proposition and now the right go-to-market strategy so that we can one, ensure that we have the playbooks ready 120 days prior to folks showing up in our footprint. And then once the launch occurs, we have the right tools in our toolkit to be able to compete. So we are seeing some pressure there as the overbuild continues, but we are building our tool kits and our ability to go to market in a hyper local fashion to compete more effectively. And I do -- and I'm confident that we're on the right path. The other challenge or the interesting dynamic is when we look at income constrained, it's 18% in the East, but it's 38% in the West. And so we do need to evolve our income-constrained strategy, and we now have a plan, and we're going to be launching that later this year, first half of this year, it will be simplified as we talk to our customers, and we've looked at what their needs are. They are looking for simplicity. They're looking for transparency. They're looking for predictability, and we're going to deliver all of that. We're going to deliver that in a way that will resonate and ensure that we can compete. And so we're going to -- I'm excited that we will now have a formal income-constrained strategy that will allow us to compete more effectively in that demographic, and that's particularly important in the West, where we have a greater proportion, and we have the headwinds of these fiber overbuilders. In the East, we're continuing to compete very effectively as we go out to market. We've equipped our retention agents with incredible offers, and we're leveraging AI for the first time and really making sure that we're leveraged -- we understand our customer, their customer lifetime value and providing them the right offers gross adds are under pressure across the East and the West, but we're able to continue to innovate there in terms of pricing and packaging. Our optimum complete package with broadband and mobile is really starting to resonate. We've evolved our mobile strategy a bit, simplifying the pricing, and that's really helping us compete effectively in the East. Marc?
Marc Sirota: And then Jim, just on video gross margins, really pleased on our trajectory and the improvements that you mentioned. We're doing that on two fronts. We're doing it from a rate perspective, and we're also doing it from a cost perspective. On the rate side, really pleased to see how we've taken a much more disciplined approach to passing along the annual programming cost increases, our video ARPU is up over 7% year-over-year. We're also doing that just through the new packaging and driving customers to the right options around stream and entertainment, TV, extra and everything. And then on programming costs, also very pleased, over $200 million decline year-over-year in programming costs. Some of it is certainly tied to volume, but also rate, as we mentioned, lowest level of rate inflation to date, historically, that was around 6% to 8%. We've been able to bring that down to about 4%. All of those things, plus the other things we talked about today gives us confidence that we will drive to our approximately 70% gross margin by 2026. And so we feel like we're on a good path there, and it will be a key contributor to EBITDA growth over time.
Dennis Mathew: Yes. The only other thing I'll add is that what's really resonating is mobile. This is a huge opportunity for us, and we're really just getting started. Our new offers are delivering 60% growth in the average number of lines that each customer takes. On the B2B side, we're really just delivering and selling to the small, small business. And so by middle of this year, we'll have solutions for midsize and larger businesses. And really, our sales channels are just getting started. Today, on the care side, we've got 40% of our team selling that was 0% a year ago, and we grew that to 25%, and we're going to have even more growth and scale by the middle of this year. So when you look at what's really working, it's that conversion strategy and being able to bring broadband and mobile together, and we're just getting started on mobile, and I'm excited for the growth, both on the consumer and the B2B side.
Operator: Thank you. We reach the end of our question-and-answer session. I'd like to turn the floor back over for any further or closing comments.
Sarah Freedman: Thank you all for joining. Please reach out to Investor Relations or media relations with any further questions.
Operator: Thank you. That does conclude today's teleconference and webcast. You may disconnect your line at this time, and have a wonderful day. We thank you for your participation today.